Operator: Good morning. My name is LaShanta and I will be your conference operator today. At this time I'd like to welcome everyone to the Exelon Corporation Q4 2016 earnings conference call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be question-and-answer session. [Operator Instructions] Thank you. I will now turn the conference over to Mr. Francis Idehen. Please go ahead, sir.
Francis Idehen: Thank you, LaShanta. Good morning, everyone, and thank you for joining our fourth quarter 2015 earnings conference call. Leading the call today are Chris Crane, Exelon's President and Chief Executive Officer, and Jack Thayer, Exelon's Chief Financial Officer. They are joined by other members of Exelon's senior management team who will be available to answer your questions following our prepared remarks. We issued our earnings release this morning along with the presentation, each of which can be found in the Investor Relations section of Exelon's website. The earnings release and other matters, which we discuss during today's call contain forward-looking statements and estimates that are subject to various risks and uncertainties. Actual results could differ from our forward-looking statements based on factors and assumptions discussed in the earnings release, today's material, comments made during this call and in the risk factors section of the 2014 10-K and the third-quarter 10-Q. Please refer to today's 8-K and the 10-K and the 10-Q and Exelon's other filings for a discussion of factors that may cause results to differ from management's projections, forecast and expectations. Today's presentation also includes references to adjusted operating earnings and other non-GAAP measures. Please refer to the information contained in the appendix of our presentation and our earnings release for a reconciliation between the non-GAAP measures to the nearest equivalent GAAP measures. We've scheduled 45 minutes for today's call. I will now turn the call over to Chris Crane, Exelon's CEO.
Chris Crane: Thanks, Francis, and good morning to everybody. Thank you for joining us on our fourth quarter call. Before I go into the results I want to take a moment to thank our crews who worked hard to restore power for our customers in Baltimore and Philadelphia affected by the January storms. BGE and PECO were able to restore approximately 22,000 customers throughout the weather event, keeping the average restoration times to less than three hour, which is a remarkable accomplishment given the challenges associated with traveling and the working conditions as the storm intensified. I'll start off by reiterating our strategy and our capital allocation philosophy. The balance sheet strength is a priority that guides every strategic decision. It allows us to deliver stable growth, sustainable earnings and an attractive dividend for our shareholders. Our strategy for delivering these objectives is to harvest free cash flow from the Genco, to invest primarily in the utilities for the benefit of our customers, invest in long-term contracted assets, which meet our return requirements and return capital to the shareholders. Consistent with this capital allocation policy, we're announcing today an evolution in our dividend policy. Our board has approved a policy to raise our dividend by 2.5% each year for the next three years beginning with the June 2016 dividend. The dividend increase shows our commitment to provide an attractive total return proposition for our shareholders and reflects the shift in focus towards our regulated utility and long-term contract businesses. Our balance sheet and our cash flow profile support the shift in the dividend policy and maintain a high credit quality and investment grade rating remains a top priority. We continue to de-risk the Company by growing our regulated business. This has allowed us to generate earnings with a lower risk profile. We remain as focused as ever on careful disciplined use of capital. Let's turn now to 2015 results in each of our businesses and our goals for 2016. Despite a difficult year in the markets we delivered earnings of $2.49 a share in 2015 demonstrating once again our ability to run businesses well and manage through even the most challenging environments. At our utilities, 2015 was a record year for us in many respects and growing regulated business continues to thrive. We achieved a major earnings milestone: our utilities earned over $1 billion in net income, delivering the highest utility earnings on record. We invested nearly $3.7 billion in needed improvements for our customers across the utilities including the AMI and the grid modernization investments, significant gas and electric infrastructure and innovative technology and customer-oriented systems. Our track record for reliability and customer service has allowed us to earn solid returns. Our utility earnings on aggregate across Exelon is at 9.5% in 2015. Our returns reflect the constructive regulatory relationship in our territories. PECO received a unanimous approval for both its $127 million rate case settlement and a $275 million long-term infrastructure improvement plan. BGE received approval for recovery of more than $200 million of energy efficiency and gas infrastructure replacement investments. And at ComEd, we achieved our fourth consecutive year of constructive outcomes in our formula rate filing. This year we filed a rate reduction at ComEd, showing our ability to contain cost and limit the impact of capital investments on our customers' bill even during the current Smart Grid investment cycle. The utilities continue to drive high operational performance and that performance is getting better each year. Of the 26 metrics we track, 21 of them were best or second-best ever in 2015 including reliability and customer satisfaction. As for our goals in the utility business in 2016, our first primary goal is closing the PHI transaction at which point we will begin the important job of integrating PHI into the Exelon family of utilities. We will bring our management model to PHI Utilities in order to improve the experience of the customers in the region. We will work diligently to develop and implement an effective regulatory strategy for PHI. We will invest approximately $4 billion in our existing utilities to refurbish and modernize the grid to improve service for our customers. That is part of the $18 billion we will invest in our existing utilities over the next five years. We will work to maintain first quartile operational and customer satisfaction numbers while continuing to focus on productivity and cost management. Finally, we expect a decision in our November 2015 BGE rate case in June and we'll file our annual formula rate update at ComEd in April. By executing on these goals, we will deliver one of the most compelling utility earnings growth stories. Our generation business had a solid year. Operationally in 2015, Constellation performed well even in the face of weak markets. Nuclear capacity factor was 93.7%. Refueling outage performance was very strong. Average refueling outage duration was 22 days. That's the lowest average since 2002. Our gas and hydro plants outperformed the dispatch match targets. Our solar and wind assets did the same for the energy capture targets. Our power business went 15 months without an employee OSHA recordable incident. It's the best safety performance ever. At Constellation, our generation to load matching strategy contributed meaningfully to the earnings. Our load serving business experienced growth in both power and gas. In 2015, we served 195 terawatt hours of wholesale and retail load, materially growing that platform from 155 terawatt hours the prior year. We continue to have high customer win and renewal rates. We are now a top 10 marketer of natural gas and it has significantly increased our delivery of retail gas to 720 Bcf last year. In 2016, at Exelon Generation, we will continue to operate world-class fleet of assets at the highest level of performance while continuing to execute our strategy of growing the contracted generation business with 350 megawatts of wind projects in development. At Constellation, we will achieve our targets of serving 210 terawatt hours of load across our wholesale and retail base, using our commercial platform as both a risk management vehicle and an earnings driver. Each of our businesses is well-positioned to continue strong performance in 2016 operationally and financially. We have some important priorities we are targeting in 2016. We will continue our broad advocacy efforts to ensure that our unique class of nuclear assets are properly valued for their clean, safe and reliable attributes. Developments in New York for a clean energy standard are constructive. The leadership of the governor in New York has been very positive, but more work needs to be done and we will engage with key stakeholders in the state. We continue with our specific efforts with legislators and stakeholders in Illinois on the low-carbon portfolio standard. We provided ample time to reach the resolution on the nuclear assets, suffering significant losses in the process. If we don't see significant results, we will make the economically rational decision. We continue to engage with MISO on a constructive reform to address the issues in Zone 4. We will work in the states in which we operate to develop compliance plans for the clean power pool. This has been a challenging period for our sector. We are tackling those challenges aggressively. We are reducing our costs by $350 million. We will continue to shift our business mix to more regulated exposure both organically with our $18 billion capital into our existing utilities over the next five years and through our strategic acquisition of Pepco which will raise that number of capital investment to $25 billion over the next five years. The Company remains on a solid footing and our balance sheet remains strong. And we continue to run the businesses at the highest operational levels. With that, I will turn the call over to Jack for the financial details.
Jack Thayer: Thank you, Chris, and good morning everyone. As Chris stated, we had a strong year financially and operationally across the Company. For the full year, we delivered earnings of $2.49 per share and $0.38 per share for the fourth quarter. If bonus had not been extended, we would have delivered earnings of $2.58 per share, meaningfully exceeding the midpoint of our guidance range. The appendix contains details on our fourth-quarter financial results by operating Company on slides 21 and 22. My remarks today will focus on 2016 earnings and O&M guidance, our credit profile, the cost management initiative and an update of our gross margin disclosures. Turning to slide 6, we expect to deliver 2016 full-year adjusted operating earnings of $2.40 to $2.70 and $0.60 to $0.70 per share for the first quarter. While we anticipate closing the Pepco holdings deal in the first quarter, our guidance is a standalone figure that assumes the equity and debt issued for the PHI deal is unwound during the year. The impact of the extension of bonus depreciation is included in the guidance. Our growing utilities earnings primarily reflect increased capital investment in distribution and transmission to improve reliability and customer service at ComEd as well as increased rates from PECO's recent distribution rate case, partially offset by higher O&M at PECO and BGE related to storm and bad debt costs. Our strong operating performance at our utilities is fostering a positive regulatory environment in all our jurisdictions and is evident in the transformation and allowed and earned returns that we've achieved at BGE since the Constellation merger. BGE has improved reliability and customer satisfaction in every year as compared to 2012, the year of the merger, which in turn has led to improved regulatory outcomes and earned ROEs over that same period. Last November, BGE filed an electric and gas distribution rate case with the Maryland Public Service Commission requesting revenue requirement increases of $121 million and $80 million through its electric and gas distribution rates respectively. The requested rates of return on equity in the application are 10.6% for electric distribution and 10.5% for gas distribution. We expect the Maryland PSC to rule on the rate case in the June timeframe with the new rates going into effect shortly after the final order. The revenue requirement increases reflect the continued investment including Smart Grid being made at BGE to improve reliability and customer service. Constellation had a record year in 2015 driven by higher realized margins that benefited from a lower cost to serve our load and strong performance in our portfolio management group. In 2016, we expect a more normalized cost to serve load and portfolio management performance, which we expect will have a negative impact on our earnings relative to an extraordinary 2015. Overall, at Exelon Generation the earnings impact from normalized margins and higher decommissioning costs, partially offset by fewer nuclear outages and cost management efforts, results in a forecast decrease in ExGen's earnings range versus last year. Our cost management initiative savings in 2016 should largely offset the impact of inflation at ExGen where labor and wage inflation are significant components of O&M. For reference, more detail on the year-over-year drivers by operating Company can be found in the appendix on slides 23 through 26. Moving to slide 7, as we've said in the past bonus depreciation has a negative impact on earnings, but a positive impact on cash. In 2016 it creates a rounded $0.09 earnings drag at the consolidated level with a $0.06 impact at Exelon Generation and a $0.03 impact at ComEd. On the cash front it increases cash flow by $625 million in 2016. Despite the negative earnings impact of bonus depreciation in 2016 through 2018 we are affirming the CAGR of 3% to 5% for the enterprise and 7% to 9% for the utilities through 2018 that we disclosed at EEI. In addition the extension of bonus depreciation will likely have a further effect on Exelon as a whole after the closing of the Pepco holdings deal. Once the merger is completed and we begin the integration of PHI's operating, planning and regulatory functions we will provide an update on PHI's forecast and the resulting accretion impact on Exelon's forecasts. On slide 8, our top financial priority remains maintaining our investment grade credit rating and ensuring the strength of our balance sheet. The five-year extension of bonus depreciation improves the free cash flow position at ExGen, which has a positive impact on our FFO to debt metrics. ExGen free cash flow over the 2016 to 2018 period is now projected to be $5.35 billion or $3.2 billion after taking into account committed growth capital. Since our EEI disclosure Exelon Generation has commenced developing a further 350 megawatts of long-term contracted wind projects in Michigan and Oklahoma. As you'll note on the slide, given our strong cash flow outlook ExGen has a declining debt to EBITDA ratio starting at 3.2 in 2016 and decreasing to 2.3 times debt to EBITDA by 2018. Bottom line, we're growing durable earnings and shrinking debt. Turning to slide 9, I will provide an update on the cost management initiative that we announced towards the end of last year. We recently finalized the savings initiatives in January and have incorporated them in our current long-range plan. As we mentioned at EEI, the total identified savings are in the $350 million range with savings split equally between Exelon Generation and our corporate shared services organization. $100 million of the savings of the shared services organization will be achieved within our information technology function with the remainder coming from various corporate function such as finance, legal, human resources, and supply. The corporate savings will be allocated roughly equally between Exelon Generation and the utilities. Overall, this means that roughly three-quarters of the total cost savings for the Company will hit the bottom line in Exelon Generation, while the remaining quarter of the savings will be realized at the utilities and ultimately passed on to our customers. As a result, we expect a run rate earnings benefit from our cost management initiative of $0.13 to $0.18 per share beginning in 2018 with approximately 35% of the run rate savings achieved by the end of this year. Our proven track record of cutting cost and running our business efficiently gives us confidence we will be able to achieve or exceed these savings. Slide 10 shows our 2016 O&M forecast relative to 2015. We project O&M for 2016 to be flat to 2015 and we expect a slightly negative O&M CAGR across the enterprise over the 2015 to 2018 period and a negative 1% CAGR at Exelon Generation. ExGen's year-over-year decrease is driven by a combination of factors: fewer planned nuclear outages compared to 2015, lower pension cost and the impacts of the cost management initiative. The year-over-year increase at PECO and BGE is due to inflation and budgeting for normal storm and bad debt costs, which results in incremental year-over-year O&M growth. Slide 11 provides our fourth-quarter gross margin update. This quarter's gross margin update now includes the impact of the Ginna RSSA to 2016 and 2017 total gross margin. As we saw both power prices and heat rates for 2017 increased by the end of the quarter, we reduced our deviation to ratable. For 2017, we ended the quarter with a power position of 5% to 8% behind ratable on a total portfolio basis when considering our cross-commodity hedges. We are even further behind ratable in the Midwest approximately 13% to 16% when considering cross-commodity hedges. We continue to align our hedging strategy with our views on the market. In 2016 total gross margin is flat to our last disclosure. As you know, we're highly hedged in 2016, which combine with the inclusion of the Ginna RSSA allowed us to offset the impacts of lower prices in 2016. During the quarter, we also executed on $50 million of both power new business and non-power new business. Total gross margin increased by $50 million in both 2017 and 2018. The increase in 2017 is partially driven by the Ginna RSSA, which mitigates losses, while the increase in 2018 is driven by higher power prices across most of the regions, most notably in NiHub with around-the-clock prices increasing by $0.64 per megawatt hour. During the quarter, we also executed on $50 million of non-power new business for both 2017 and 2018. As a reminder, the appendix includes several schedules that will help you in your modeling efforts. That concludes our prepared remarks. And we will now open up the line for questions.
Operator: [Operator Instructions] Your first question comes from the line of Greg Gordon with Evercore ISI. 
Greg Gordon: Thanks, good morning guys. Great presentation. Thank you. A couple of questions. Can you talk in a little bit more detail about what your plan is and what the milestones are for making a decision in Illinois on the uneconomic units? And can you refresh our memory on where we stand in terms of profit and loss on the three units that you had initially a year and a half or two years ago identified as impaired?
Chris Crane: Sure. As you know we were successful and PJM was successful on the capacity market redesigns that gave some upside to the fleet in NiHub. Greatly helped Byron and added help to Quad cities, but since then as you've seen the downturn in the forwards Quad cities continues to be challenged and more neutral on cash flows and earnings, while maintaining the risk of operation. We continue to work on Clinton. Clinton is negative. We have two initiatives underway, one working with MISO on Zone 4 reforms and we'd like the design to be more like the new PJM capacity market design. But that in itself will not save Clinton. As you know there's a lot of work going on in Springfield with the administration and the legislature. And we have had a very strong support from the leadership of the legislature and the administration on coming to a resolution on the energy outlook for Illinois. It's not only the Clean Energy Standard, but there is an environmental jobs, agreeing jobs bill and there's a utility of the future bill that have to be negotiated together. There's been progress made in that dialogue, but it is critical that we have, that we're able to present to the legislature this spring a combined package that ensures the financial viability of our assets as they contribute highly in reliability, in environmental or we will have to make the rational economic decision. It's our job to get the stakeholders together. We're working hard on that and to bring the leadership what is a consensus package that’s good for all of Illinois and its customers. So we're in this spring time in Illinois and we're hopeful that we can have reasonable heads prevail and negotiate a balanced outcome and as I said present that to the leadership so they can provide the continued support.
Greg Gordon: Okay, so Quad because of the further decline in gas prices and power prices since the CPE results has gone back out of the money. So is that a fair summary?
Chris Crane: It is. It is. With these forwards it is. 
Greg Gordon: Okay. And the second question is, so you guys are going to, based on your cash flow slide on page 37 you're going to end the year with a pretty substantial cash balance. And if I look at the cash flow profile you project through 2018 that should continue to grow all things equal. Your debt to EBITDA is going to be sub-3, by my measure you're trading at under 4.5 times EVD to EBITDA on the implied valuation of the nuclear business. That basically implies that the nuclear is a wasting asset write, that with $8.5 billion of debt on the balance sheet that you should be amortizing debt because these plants are going away in 10 years. I mean what can you do to convince investors that this low gas price environment doesn't ultimately drive these assets out of business? Because if they are 20- or 30-year assets and not 10-year assets the stock is undervalued. 
Chris Crane: Yes, first of all there's more than 10 years on these assets. We had license renewal at Braidwood. It goes into the late 2040s. The money producing plants are the larger dual unit sites that will run into the 2040s. That's Byron Braidwood, LaSalle, Limerick, Peach Bottom and they are positioned well in the markets. Peach Bottom is in the 30s I think, but the others are in the 40s. So we've got a long run left on these profitable plants. If the smaller units or the single site units cannot be profitable and we can't get a market design they will be retired and there is an upside based off of that retirement on free cash flow and earnings. We will remove the drag. As Jack described, we're very focused on the debt to EBITDA ratios at the GenCo, and over this period of time we will be reducing over $3 billion of debt at the GenCo and continuing to manage that, matching our assets with our debt. We feel very comfortable where we're at. But it is a misnomer that is out there that these are 10-year assets with a large debt profile on them. Jack, you want to -.
Jack Thayer: No, I think you covered it Chris. I mean the goal is to create that fortress balance sheet to do the right things around our assets and sustain the profitability of the long lived plants. 
Greg Gordon: All right, thanks guys.
Operator: Your next question comes from Dan Eggers with Credit Suisse.
Dan Eggers: Hey, good morning guys. If we go look at the dividend increase in the 2.5% a year for the next three years, can you maybe, Chris, share how the Board thought about using capital to raise the dividend considering you already have a pretty healthy yield? And then what was the thought process behind 2.5% a year for those three years? 
Chris Crane: Sure. We had, as we talked back three years ago now when we had to restructure the dividend, we had grown the dividend at Exelon based off of the earnings and cash flow on a very volatile business, the GenCo. We had to make the shift and take the pain at the time to refocus the payout and where that reliable cash flow would come from. We set out at that time after the merger with Constellation, improving the performance for the customers and the reliability of BGE and along with that improving the profitability. ComEd has done a phenomenal job improving reliability, making prudent investments and as our shareholders have seen, as you have seen, the strategic plan we laid out a few years ago is paying off. And it can be seen, it's transparent that by 2018 theoretically the utilities would be covering the dividend. In discussion with shareholders and feedback at the end of the year the certainty and our confidence in the business needed to be fully displayed. In dialogue with the Board, we thought that we can make these increases. We've talked about the free cash flow, we talked about the balance sheet and we're committed to that through 2018. I think it's a positive sign in the right direction that we feel confident in our strategy going forward.
Dan Eggers: Okay, got it. And then on the Pepco deal, I guess you have kind of down to one month of room for the commission to make a decision. I guess A, have you heard anything or is there anything indicative of where the commission could make a decision? And B, if the deal does not get approved how do we think about the full return of the previously raised equity and the debt retirement? 
Chris Crane: So the commission did state that they would take this matter up before our March 4 date. And that's our only commitment is to try this till March 4 and if we can't get it by March 4 then we have to fold up and then start to execute on the debt reduction and the buyback of the equity issued. And that would start immediately. The plans, the contingency plans are in place by Jack and Stacy and the team. And that execution would then start at that point. 
Jack Thayer: And Dan, just for modeling convention, what we've assumed is it takes us roughly five months to buy back the equity and that has a $0.06 drag associated with it during 2016 on our standalone plan. And we would assume we'd retire the majority of the debt associated with Pepco in March, which has a $0.01 drag. So all-in on a standalone basis there's about $0.07 of drag in our EPS associated with PHI closing that out if we end up on a standalone basis.
Dan Eggers: And I think that the disclosure in the back of the $1.6 billion or whatever buyback that you have in the appendix, that's based on just buying back the same number of shares you originally issued, although the notional amount is obviously less than you raised. And is there a possibility you guys could buy back the amount you raised rather than the number of shares?
Jack Thayer: To your point what we've modeled is buying back the 57.5 million shares that we issued for the transaction. I think our balance sheet strength and where we see that orienting from a debt-to-EBITDA basis provides a lot of flexibility. And we'll review what's the best means of creating value for shareholders. 
Dan Eggers: Got it. Thank you, guys.
Chris Crane:
Operator: Your next question comes from Steve Fleishman with Wolfe Research.
Steve Fleishman: Yeah, hi, good morning. Just on the dividend strategy change I just wanted to confirm that that's the plan kind of with or without Pepco?
Chris Crane: It is.
Steve Fleishman: Okay. And secondly, what are your thoughts on the use of the bonus depreciation cash? And it sounds like you haven't included that in the impact of bonus or you're just taking the hit but not including reinvestment. What might you reinvest in?
Chris Crane: We have significant investment in the utilities. We are putting debt on the holding company. We would anticipate less debt issuance to infuse the equity into the utilities as part of that. And there we would look at other opportunities to for further regulated or contracted investment if they met our hurdle rates. 
Steve Fleishman: Okay. And then the $1.350 billion that you're putting into contracted generation at ExGen, is that all renewables projects?
Jack Thayer: There's a contracted peaker up in New England that's a modest part of that. But the bulk of that is contracted wind or contracted distributed generation.
Steve Fleishman: Okay, and argue assuming – are you including any debt financing on those assets or are you assuming for purposes here you're just funding all of it? And could you add debt to those projects?
Jack Thayer: Steve, we're assuming that because of their contracted nature that we'll be able to secure project financing, which would get some measure of off credit treatment to minimize the impact on the overall balance sheet.
Steve Fleishman: Okay. And so the $1.350 billion is just your equity investment in these? 
Jack Thayer: The $1.350 billion is just cash.
Steve Fleishman: Cash. Okay.
Jack Thayer: So that can be either project financed or equity financed, some combination of both.
Steve Fleishman: Okay, great. Thank you very much. 
Chris Crane: Sure.
Operator: Your next question comes from Jonathan Arnold with Deutsche Bank.
Jonathan Arnold: Hi, good morning guys.
Chris Crane: Good morning.
Jack Thayer: Good morning. Just a quick one on a similar topic. Does the projection you show for ExGen net debt to EBITDA stepping down to 2.3 by 2018, how much of your free cash flow are you assuming you are going to reinvest? Or is all of it just rolling into the net debt calculation in that upper slide? 
Chris Crane: Jonathan, the major drivers of that are we have a $700 million maturity in 2017 that we pay down. We pay down about $1.2 billion of CP and then a growing cash position, which ultimately takes you from that 3.2 down to 2.3 times.
Jonathan Arnold: So is it fair to say the 3.2 of free cash flow is kind of all rolled into the debt projection or not entirely?
Chris Crane: It's rolled into the debt projection. It's financing or funding the dividend increase. It's basically insulating the balance sheet to a very strong position.
Jonathan Arnold: Great. That was my other things got asked, so thank you very much.
Chris Crane: Thank you.
Operator: And your next question comes from Praful Mehta with Citigroup.
Praful Mehta: Hi guys.
Chris Crane: Good morning.
Praful Mehta: Actually going back to this debt question at ExGen, I just want to understand given the goal is to harvest cash from ExGen as you've pointed out and to reinvest that cash, and we've talked about the lifetime of assets for the nuclear as well, is there a level of just debt, as in currently the debt balances let's say $9 billion, is there a level of debt that you see if the right debt grows that number that you see at ExGen, is it between the 2018, 2019 time frame? Are you targeting a certain number? 
Jack Thayer: We're retiring about $3.6 billion over the next five years at ExGen. And I think that provides us, rather than targeting a specific number I think more importantly it provides us with a considerable amount of flexibility and insulation and allows us to position from a point of strength our merchant fleet to compete on a long-term basis. It's clearly differentiated from the balance sheets of some of our competition. And we think that that will be a competitive advantage as we proceed through the coming years. 
Praful Mehta: Got you. Thank you. And then secondly in terms of the dividend, if the Pepco transaction weren't to close as you grow your dividend by the 2.5% as you've talked about, how are you looking at the payout ratio relative to just the utility earnings by 2018 and is there a target level that you're comfortable with in terms of payout relative to just utility earnings?
Jack Thayer: So from a dividend standpoint, in effect what we do is we set a minimum from a payout ratio at the utilities, but we've got a lot of flexibility in how we can fund that growth. So rather than targeting a specific payout ratio in aggregate what we're really looking at is a minimum payout ratio at the utilities of 65% to 70%. And then we look at where best to fund the dividend as well as fund the investment in the utilities to grow the regulated earnings stream of the company at 7% to 9%.
Praful Mehta: Got you. So there is an area where the payout from just the utility business or I guess the total payout relative to the utility earnings could go higher than the 70% if in case the Pepco transaction doesn't close?
Chris Crane: That's a possibility. But if you look at, go back to what Jack said, a payout ratio of 65% to 70% by 2018 theoretically with our earnings profile, the utilities would cover that dividend. And that's a theoretic position we wanted to be in because we need to make decisions on further capital infusions for necessary projects to drive customer satisfaction and reliability.
Praful Mehta: Got you. Thank you.
Operator: Your next question comes from Barbara Chapman with BNP.
Barbara Chapman: Hi.
Jack Thayer: Hey, Barbara.
Barbara Chapman: How are you guys doing?
Jack Thayer: Good.
Barbara Chapman: Good. If somebody could speak to your sources and uses slide on 27 please and help answer a couple of questions. One, the issuance needed at Baltimore Gas & Electric just seems larger than what we've dealt with. So I'm just kind of curious what's going on there as far as an investment standpoint. But also on the corporate issuance, it doesn't appear there is a placeholder for the reissuance of the debt that was not exchanged and therefore called last year. So if you could explain if the Potomac merger goes through are we done now with the permanent debt financing for that?
Jack Thayer: So Barbara, let me start with your second question first. This is on a standalone basis, so you'll note under the debt retirements that we have a further $1.875 billion of retirements here. If PHI goes through then clearly we would look to fill the gap of what we called during the fourth quarter of 2015 through a further financing at the holding company and on a pro forma basis, this sources and uses table would show the impact of that. With respect to BGE, we’re retiring $300 million there. We’re issuing $750 million, so the net $450 million you’ll recall we have a significant gas program there where we are hardening and replacing infrastructure within our gas utility as well as we have significant investments in reliability on the distribution and transmission side. 
Barbara Chapman: Okay. So we are back – we’re still on the original thought that closing Potomac you will be out with to refinance what had to be called then?
Jack Thayer: Absolutely.
Barbara Chapman: Okay, because it’s confusing the way this is written on that issue. Okay.
Jack Thayer: And then Barbara, just the difference this time obviously is we would issue on the other side of the transaction completing. So we have sources of funding that we can use to bridge. And then we would do a large holdco issuance to replace that short-term financing.
Barbara Chapman:
A - Jack Thayer:
Q - Barbara Chapman: And your final question comes from the line of Shahriar Pourreza with Guggenheim Partners.
A - Chris Crane: And your final question comes from the line of Shahriar Pourreza with Guggenheim Partners.
A - Darryl Bradford: And your final question comes from the line of Shahriar Pourreza with Guggenheim Partners.
Q - Barbara Chapman: And your final question comes from the line of Shahriar Pourreza with Guggenheim Partners.
A - Darryl Bradford: And your final question comes from the line of Shahriar Pourreza with Guggenheim Partners.
Q - Barbara Chapman: And your final question comes from the line of Shahriar Pourreza with Guggenheim Partners.
Operator: And your final question comes from the line of Shahriar Pourreza with Guggenheim Partners.
Shahriar Pourreza: Good morning, everyone.
A - Darryl Bradford:
Shahriar Pourreza: So just looking at slide 8, is there a scenario that could essentially see some of your ratios including your debt to EBITDA essentially south of 2.3 especially if we continue in a sort of a prolonged low gas price environment?
Jack Thayer:
Q - Shahriar Pourreza: Okay, that's helpful. And then just on the dividend policy, when you think about your second leg of growth, should we assume like step functions to get you closer to what your consolidated growth is or should we assume maybe another large increase post-2018?
Chris Crane: So, we would analyze the best shareholder capital return policy. We'd be looking at are there further investments that can be made that create stronger and continuing growth in our investment in the regulated utilities. But it will be analyzed and as I said we theoretically hit a target of a payout in 2018. We will take into consideration the best uses of capital allocation at that point and we would anticipate some growth continuing after 2018. There's a lot of infrastructure and technology advancements that are coming along that will benefit the customers and benefit reliability and drive much more productivity within our workforce. So it's something that we'll look at and we're heading in the right direction. 
Shahriar Pourreza: Excellent, excellent. And just one last question. Just around maybe you could touch on the New York Clean Energy Fund that's being proposed, sort of the outlook for Ginna post the RSSA and then is there any impact to the put option with EDF?
Chris Crane: I will let Joe Dominguez cover this.
Joe Dominguez: Sure. Good morning. As Chris said at the top of the call, it's not the Clean Energy Fund but it's a zero-emission credit program that benefits nuclear. As Chris said at the top of the call, it's been a constructive development for us in New York. We still have quite a ways to go. But as a threshold political matter, having a governor with the prominence of Governor Cuomo step forward and propose to compensate nuclear fairly to keep it in business is important. If we get the details right I would go so far as to say it's kind of a watershed event for the industry. But we don't have the compensation details sorted out yet. The RSSA at Clinton will expire in March 2017, so practically speaking we need to see the details for the New York program this year. Once we see those details obviously it could provide incremental revenue that would factor into the put if that put in fact occurs. But we don't have important details right now on the level of compensation or how the procurement mechanism would work. So it's all speculative until we do the work over the next three or four months and nail this down.
Chris Crane: In my conversations with the leadership at EDF, they are very comfortable with our operations on the nuclear side and in this market environment they are not looking at exercising the put at this time. So we will continue to work on the regulatory side and drive strong operational performance. And we have a little time on Ginna to the end of the RSSA into 2017, and like Joe said we've got a very supportive administration that recognizes the clean benefits of nuclear and that's really appreciated.
Shahriar Pourreza: Congrats on the results.
Chris Crane: Thanks.